Operator: Good afternoon, and welcome to the SQM First Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.I would now like to turn the conference over to Kelly O’Brien, Head of Investor Relations. Please go ahead.
Kelly O’Brien: Good morning. I hope everyone is healthy and well. Thank you for joining SQM’s first quarter 2020 earnings conference call. This conference call will be recorded and is being webcast live. You may access the webcast later on our website www.sqm.com.Our earnings press release and our presentation with the summary of the results have been uploaded to our website, where you can also find a link to this webcast. Joining the call today as speakers are Ricardo Ramos, Chief Executive Officer; Gerardo Illanes, Chief Financial Officer; and Felipe Smith, Commercial Vice President, Lithium and Iodine, Asia Pacific.Before we begin, let me remind you that statements in this conference concerning the Company’s business outlook, future economic performances, anticipated profitability, revenues, expenses or other financial items, anticipated cost synergies and product or service line growth, together with other statements that are not historical facts are forward-looking statements as the term is defined under federal securities law. Any forward-looking statements are estimates, reflecting the best judgment of SQM based on currently available information and involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. Risks, uncertainties and factors that could affect the accuracy of such forward-looking statements are identified in our public filings made with the U.S Securities and Exchange Commission, and in our earnings release issued yesterday. And these forward-looking statements should be considered in light of those factors.We assume no obligation to update such statements whether as a result of new information, future developments or otherwise except as required by laws.I now leave you with our Chief Executive Officer, Ricardo Ramos.
Ricardo Ramos: Thank you, Kelly. Good morning. And thank you for joining us for our first quarter 2020 earnings conference call.Before discussing the details of our results, I would first like to reiterate my message from last night. My first concern is and has always been the wellbeing and safety of our employees, the families and the communities in which we operate. We have implemented plans to help protect their health and safety and do believe that these measures have been helpful in reducing the number of cases and the spread of the virus within our facilities. I will certainly be remiss if did not give credit where credit was due. The hard work and dedication of all our employees in Chile and abroad is the reason that I’m able to report that today we continue operating a normal level, so much that production today in all our facilities is above our internal and original budget for the year.The hard work and commitment of our employees does not only pertain to SQM’s operation specifically, they have remained diligent in helping and providing support to our neighboring communities in the North of Chile related to health, social wellbeing, economic recovery and education. Today, more than ever, these efforts are paramount. Thank you.Last night we reported earnings for the first quarter of the year of approximately $45 million, lower than the results seen during the same period last year. Our sales during the first quarter of this year were significantly impacted by the COVID-19 pandemic, and it is reasonable to expect that, along with the rest of the world, we will continue to see impacts in the coming months. During the first quarter, we saw lower leverage prices in lithium and derivatives. Lithium prices fell significantly during the beginning of the year as we expected. Lithium sales volumes were also lower than what we recorded during the first quarter last year, lower than what we expected for this quarter.We’re working to produce lithium volumes according to our regional plan this year and expect increased market share, selling more than last year. However, the original expectations of market growth that we all had for this year has changed significantly because of the COVID-19 and now we expect market demand in 2020 to be similar to levels seen last year.Iodine represented a significant portion of the gross profit of the Company during first quarter. This increase was a result of higher average prices. We reached approximately $35 per kilogram during the first quarter of the year. The fertilizer industry in some geographical markets has been deemed to essentially industry during the COVID-19 outbreak. This could help minimize economic impacts related to COVID-19 on the fertilizer market. However, it is reasonable to believe that demand growth in the world of sodium potassium nitrate market, a premium fertilizer, who will not reach the original expectation of 5% to 6%.In closing, while the COVID-19 pandemic limited our ability to sell in the first quarter and current global economic conditions are uncertain, making it difficult to predict the future supply and demand of the markets in which we participate, we remain positive and we expect sales volumes in most of our business lines to be higher in the coming quarters. We believe in the fundamentals behind long-term demand growth in the lithium, iodine, potassium nitrate and solar salts industry. As a result of this, we continue to move forward with our previously announced expansion plans to expect to bring our lithium carbonate, lithium hydroxide projects on line by the end of 2021.I now turn the line over to Gerardo Illanes, our Chief Financial Officer.
Gerardo Illanes: Thank you, Ricardo.We have always maintained a strong balance sheet and our current situation is no different. We ended the first quarter with approximately $1.4 billion in cash and cash equivalents. However, it is important to note that in April we paid a $250 million bond. Our current ratio was approximately 3.2 times at the end of the first quarter. As Ricardo mentioned in the press release last night, our next relevant maturity is not due until April 2023. The robust balance sheet we have always kept gives us flexibility to operate comfortably during turbulent times like the ones we find ourselves today.While our dividend policy aims to maximize return to investors, it also considers key ratios to ensure a healthy cash position. On the other hand, we continue to move ahead with our CapEx program and expect it to reach approximately $350 million this year, lower than the $450 million previously announced. This CapEx delay is a result of reduced non-essential activities in our production facilities to help protect the health and safety of our workers. Depending on the evolution of the pandemic, we should be able to accelerate our CapEx plans in 2021 and make up for any delays we see in the upcoming months.Thank you. Operator, we may now go to Q&A.
Operator: [Operator Instructions] Our first question comes from Lucas Ferreira with JP Morgan. Please go ahead.
Lucas Ferreira: Hi, gentlemen. Thanks for the opportunity to ask questions. I wanted to understand a bit better what have been the dynamics of the lithium demand over the last couple of months. So, we are seeing China returning to normality gradually. So, if you can speak about the demand and orders from China, how they’ve been moving? Any outlook, anything you can say about Europe? I think Europe was expected to be a good contributor of greater demand this year with higher penetration of EVs. So, if you can talk about how you’re seeing the European market in specific and the orders and the pipeline. That would be my first question.And the second question is on iodine. I understanding, it’s also hard to predict what’s going to happen, but we have seen a very healthy, I would say, price and volume dynamics. Although volumes are not increasing and prices are compensating and your gross profits overall have been improving. So what’s your expectations there, despite of the impact there on the volumes? Would you expect to keep supply under control and then do you think the prices should remain at the healthy levels? That’s my second question. Thank you.
Ricardo Ramos: Thank you for your question. Let me try to answer the first one about the lithium to have an outlook what’s going on -- on what we think is going on in the industry. And after that I will ask Felipe to give more color and detail in the iodine business.First, in the lithium, as you may know, our sales in the first quarter, as we reported, were affected by this situation, the COVID-19. The main effect in the first quarter was China demand. The GDP, as you know, in China was negative during in the first quarter, close to 7%. Our information is that electric car vehicle sales during first quarter decreased 54% compared to the first quarter 2019. It means, it was a strong reduction. We have to consider that China was almost closed all the quarter and affected significantly the sales in that market. As you may know, our Company, our marketing strategy and sales strategy for the first quarter and for the year was very active in the Chinese market. That’s why we think that at least we reduced our sales in China during first quarter close to 2,000 metric tons.In other markets, the situation was slight different. And other Asian demand was slightly affected in the first quarter for us considering our original plan. And I think that a good news came from Europe during first quarter. Europe sales of our lithium was better than expected and was okay. But at the end, the effect, negative effect of China plus some negative effect in other Asian demand affected our expected sales during the first quarter.I think that it’s important to see what we’re looking forward. Chinese economy is getting some recovery and GDP growth forecast for the Q2 is expected to be positive, close to 5% probably. And electric vehicle sales still we expect to have a negative compared to the second quarter 2019, but not at the level of 15. We’re talking about the level of the 20%, 25% decrease. However, it is very improvement to consider there is a big improvement compared to the Q1. According to our information today, most of the factories in China are producing in a normal way. And after two months of complete shutdown, Chinese subsidies and all the government policies to stimulate economy should help. And I would think we will see a third and fourth quarter very strong.Cars -- in other markets, important to consider that the virus arrived later, then the big impact started at the end of March and continued during April. Car producers were affected in April, especially Europe and the U.S., and most of them closed the plants. Electric vehicles sales in Europe and U.S. were reduced in April as we know close to 31% and 55% in the U.S. During May, car producers started reopening the factories. And today, most of them are producing, as far as we know, and Korea and Japan were less affected and did not stop production. They thus being very lucky for us considering that we are trying to allocate a lot of products in those markets.Regarding to the other lithium industries, remember that it’s important to consider also the portable device industry, construction and grease. They will be affected and potentially the demand of this application could be lower than 2019 as we have been -- we had in the first four months of this year. With all the information we have and considering expected reduction of customer inventories, we believe it is reasonable today with the information that demand for this year will be similar to the demand of 2019, which was close to the 312,000 metric tons of lithium carbonate equivalent.But, regarding all those patterns, moving specifically to the SQM situation, we think that we are in a good position to increase our market share this year. It means that we expect to sell more this year compared to the previous one. Of course, the situation of the market is different than the original expectation of the market. We have a lot of contracts in this for the year with customers we have been working for many years. And they are confident we can reach our goal. We have started seeing some effects on the supply side today because of the market condition. There are a few current operations that can face bad situation. And we expect that we will reach our original -- not original but our target to be higher year than last year and to increase our market share.Anyway, we’re building inventory. This inventory will help us to have better flexibility and to support our customers. And anyway our demand in the long-term will increase and the inventory will be very, very positive in order to face the future demand of the market.For the future and our -- I would ask Felipe to share with us what’s your view before moving to the lithium? We are not in the same room with Felipe because of the COVID, we are in the different places in Santiago. Santiago is under lockdown today. Felipe, if you can share with us your view about the future of the lithium in order to share your opinion about that. I’m talking about ‘21, ‘25 onward.
Felipe Smith: Okay. No problem, Ricardo. Hello, everyone. Well, if we look at the outlook of the medium and long term, I believe that the fundamentals are still there. We are estimating that in total, the lithium demand will grow after this 2020 special year, and after ‘21 to ‘25 we should have an average growth of around 20% in lithium demand. Meaning that by 2025, we believe that total demand of lithium could exceed 800,000 metric tons. And these fundamentals are basically what we let’s say expect from the OEM manufacturers. They all seem totally committed to electrification of their fleet. Also governments are pushing for these kind of -- or these type of cars. So, all in all, I think that we have to be optimistic in the long term.
Lucas Ferreira: Ricardo, if I may, just a follow-up on that, before we go to iodine, can we say already that the first quarter was the weakest quarter for you in terms of sales in the year, or it’s still early to say that given that you’re not yet at the end of the 2Q?
Ricardo Ramos: Lucas, we -- according to the information we have today, we do expect that the first quarter was the weakest quarter of the year in the lithium business in volumes, certainly.
Lucas Ferreira: Okay. Thank you.
Ricardo Ramos: Felipe, if you can go ahead with the second part of the question regarding the iodine. Why would you think that the iodine demand this year will be slightly -- or will be lower than last year and of course, lower than originally expected?
Felipe Smith: Yes. Well, first of all, to give some context, the demand in 2019, we estimated to be close to 37,000 metric ton of iodine. Our last estimation for this year is that this demand will be around 34.5, meaning a reduction of 2,200 ton or 6.1%. And how we base this estimation, basically the main users of iodine -- or one of the main uses of iodine is X-ray contrast media. This is an application that is related to prevent this medicine. So, according to our customers, they explained that due to the COVID-19 pandemic, people are reluctant to do examination. They prefer to avoid going to the hospital. So, these definitely have any impact on the demand of this specific application. Also, iodine is used in other applications that are very linked to the economic situation. For example, there is an application that is related to paint. And definitely construction will be affected we believe this year. So, that is also an application that will be negatively impacted. We foresee that electronics applications for iodine will also be negatively impacted. And for the rest, there are some uses that are more related with lockdowns. For example, in the case of pharma, pharma is very concentrated in Europe and India. And especially in India, the lockdowns that we saw in March and April are affecting the demand. So, we hope that this could revert in the coming months. But so far, we try to be conservative.The only applications in iodine that are more inelastic are those related to nutrition, which they have proven over the years that independent of the economic cycles, they are very resilient. So, that is more or less the overview of iodine.
Operator: Our next question will come from Isabella Simonato with Bank of America. Please go ahead.
Isabella Simonato: Thank you. Good afternoon, everyone. Thank you for the call. I would like to know more about the cost structure, right? How the pandemic or the new environment has led to eventually higher cost in your production or any sort of disruption, if you could update us on that? And regarding the CapEx that was reduced for this year, can you give us a little bit more of details? If it is the postponement for 2021, where exactly that reduction happened? Thank you.
Gerardo Illanes: Hi. Isabella, this is Gerardo. I’ll try to answer your questions. Because of COVID-19, we have not seen an impact on the cost of production or in any of our business lines. Actually on the contrary, I mean not because of COVID-19 but because of other reasons, the cost of every single product in our production process I have seen coming down over the past few months, in iodine, in potassium nitrate, sodium nitrate and lithium. Of course, the weaker Chilean peso and the lower cost of energy are of course helping in this regard. But, we are not seeing higher costs because of this situation. Of course, it’s taken some time for you to see them in the P&L because we have such a high level of inventories, we have more than $1 billion of inventories. And that takes some time to be reflected in the results. But from a cash point of view, of course, it’s having an impact right away.Regarding your question about CapEx. What we have been doing, more than reducing CapEx because of financial a constraint. We have been reducing the activities that are not essential in our facilities in order to make sure that we comply with the toughest recommendations to protect our people and to reduce the speed at which the virus can spread in our facilities. So, because of that, we have reduced the use of contractors. We have reduced some non-essential activities and some CapEx activities that can be postponed, without having a significant financial impact, either on our plans to sell this year or in the upcoming years or also in the projects themselves. That’s why the CapEx has been reduced from $450 million to $350 million. But, to be more precise, the CapEx has not been reduced but delayed. And we expect that this CapEx or these expenses or these activities will be catch up as soon as the conditions allow us to bring more people in our facility.Regarding the most important projects that we’re working on which are expansions of lithium related products, we are still expecting that they should be ready by the end of 2021. So, we don’t see a big impact there.
Operator: Our next question will come from Ben Isaacson with Scotiabank. Please go ahead.
ZiadSaada: Hi. This is Ziad actually on for Ben. Thanks for taking my call. I just have one on potash pricing, actually. You [Technical Difficulty] realized very sticky pricing in your segment, despite commodity benchmark prices falling quite meaningfully over the last two quarters. Can you talk about how your potash versus SOP sales mix has evolved? And what should that mix be for the balance of the year as we look forward? Also, has there been a shift in the regional mix to account for the strong realized potash pricing? Thank you.
Ricardo Ramos: Yes. As you may know, the potash price was affected in I think the last two or three or four months, mainly on the China settlement of last month, it’s in the -- last two weeks is in the same line. We do expect that potash prices, as everyone expects to be lower during the next three quarters, as compared to the first quarter of this year. We are considering that in our projections. But you should considering that we are very small in the potash industry. We are this year -- even though this year we do expect to sell more than last year and we continue with this expectation, we can select the market where we try to approach. And I think that the net effect will not be as high as originally expected due to these price reductions. But anyway, we are expecting and we know that the price of potash today is not what used to be probably one year ago or a six months ago, and we are continuing these in our projections for the next few quarters. Thus we know that we’re selling, as you know, very important volumes in Brazilian market. Brazilian market’s been affected probably with the -- it's been affected today with the price environment of the product. But, the volumes, we do know that the volumes for SQM for the rest of the year will be higher. And we expect to be close to 700,000 metric tons of potash sales during this year of the total volume. I don’t mean -- first it’s going to be affected the margins due to the price environment of course. Yes.
Operator: Our next question will come from Alex Falcao with HSBC. Please go ahead.
Alex Falcao: Yes. Hi, guys. Good afternoon. I just wanted to talk specifically on China. I know that you -- I just want to talk after, for the month of May, we’ve seen a pickup there on at least locally for -- at least the production. It seems like there’s -- the supply side has been -- some of these companies have been basically shut down even in Australia. I just wanted to know if -- when you talk to your people on the ground and the -- I know you don’t sell really on the spot market. But, I just wanted to know specifically for Asia and for China, is -- there may seem to be inflection point, you comment that it’s probably the worst is over and first quarter is going to be the worst quarter of the year. But just trying to gauge if you have more details specifically for China and what you sell there thinking.
Ricardo Ramos: Thank you, Alex. I will ask Felipe, Felipe can direct touch with the China people, our team there on a daily basis. And I think he can share with us his thoughts about what’s going on in China as we speak, what he expects in the few -- in the next month. Felipe, please?
Felipe Smith: Yes. Well, first of all, we need to remember that we entered year 2020 with high stock levels in China. Okay. So, we were expecting anyway a lower amount of sales versus the total year in the first quarter. But, the pandemic situation that started in China affected seriously the demand. So, these already high inventory levels that were carried out to 2020 would take much longer now being depleted. As a matter of fact, we believe it will take several months. And therefore, this recovery that we see in the business itself, not necessarily will be reflected in a good sales recovery, because, again, the demand is affected there.So, we will have to see over the next months. We have to be conservative in our estimations. But we still believe that our sales over the next quarters in China will be increasing. We have good signs from customers that this will be the case. But, again, there is a lot of uncertainty that we need to see.
Operator: Next question comes from Joel Jackson with BMO Capital Markets. Please go ahead.
Joel Jackson: Hi. Good morning. I have two questions. I’m going to ask them one at a time. Ricardo, so, if I listen to your commentary, tell me, if I’m right or wrong. Do you still -- SQM still expects to produce about 65,000 to 70,000 tons LCE this year of lithium? You still expect to gain a bit of share. But, if that’s the case in a flat demand environment, do you expect to build a lot more inventory this year than you thought two months ago, is that correct?
Ricardo Ramos: Yes, of course, correct. We do expect to produce between 65,000 to 70,000. Even though we are going to increase the way market share, considering the flat environment we expect in the total demand, our inventory will be increased this year. But, it’s a healthy level of inventory that will help us in the future demand growth environment.
Joel Jackson: So, if I follow up on that. I mean, you got competitors who are also building new supply, you have a bit of a stalling of demand this year. You just talked about -- Felipe you just talked about inventory and China’s been larger than you would have thought by now. Do you not get worried on the price of lithium here because a lot of inventory already, you’re building inventory and there’s competitor supply additions on top?
Ricardo Ramos: I cannot speak about the other competitor’s inventories. But considering SQM inventory, of course is -- my inventory is not as huge as affecting financial situation of the Company. I have a different opinion. I think that our inventory is element of flexibility we have, we strongly believe in the fundamentals of the industry, and having this inventory is a good news for us. We are -- it would not affect our market strategy, our market pricing, the inventory, of course not. We are looking for market share increase, we will get it. And that’s exactly what we expect to have. If the market is slower for the specific reason, I already commented to you for the COVID-19, of course the total volumes would be lower, but our target of the market share will be there. The excess of inventory is good news in order to have inventory for the future and having the flexibility for the market, means that the additional inventory is not an effect of the price environment in the terms of inventory of SQM. About inventory of our competitors, of course I cannot comment what is going to be their business strategy so far.
Joel Jackson: So, are you comfortable running about six months of inventory? Because if I do your math, you’ll end this year with about six months of your 2020 sales volume -- 2020 sales volume, your inventory will be about half of that at the end of the year. Are you comfortable with that?
Ricardo Ramos: Yes. I’m comfortable with that. You have to consider that as Felipe mentioned before. We do expect that sales in 2025 will be in excess of 815,000 metric tons of lithium. I mean having inventory using my capacity today to produce is a very good business because we need to increase our capacity in the future anyway. And if we can operate at full capacity today -- the production facility is the best way to use our fixed assets, considering that we do expect that we will significantly increase our sales in the next three years. That’s why having inventory, considering the expected volumes is a very good news.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Kelly O’Brien for any closing remarks.
Kelly O’Brien: Thank you everyone for joining. A summary of the results and the call will be posted on our website. Please stay healthy.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.